Operator: Good morning ladies and gentlemen and welcome to the Vail Resorts Fiscal 2009 Second Quarter Earnings Results Conference Call. (Operator Instructions) I would now like to turn the conference over to Rob Katz, CEO of Vail results. Please go ahead sir.
Rob Katz: Thank you, operator good morning everyone. I would like to welcome you to the Vail Resorts Fiscal 2009 Second Quarter Earnings Conference Call and Simultaneous Web Cast. Both are open to the public and press at large. I am Rob Katz Chief Executive Officer of Vail Resorts. Joining me on the call this morning is Jeff Jones our Chief Financial Officer. Before I get into the discussion of our results, let me remind you that we are using the term reported EBITDA to report earnings for each of our operating segments, namely Mountain, Lodging, and Resort, which is a combination of the mountain and lodging segments, and real estate. The Company defines reported EBITDA as segment net revenues less segment operating expenses plus segment equity investment income and for the Real Estate segment plus gain on sale of real property. The Company also uses the term net debt which is defined as long-term debt plus long-term debt due within one year, less cash and cash equivalents. Complete reconciliations of reported EBITDA other non-GAAP financial measures can be found in this morning’s earnings release and on the vailresorts.com website in the investor relations section. I also need to mention that comments made during this conference call other than statements of historical fact are forward-looking statements that are made pursuant to the Safe Harbor provisions in the Private Securities Litigation Reform Act of 1995. Certain risks and uncertainties could cause actual results to differ materially from those contained in the forward-looking statements. Investors are directed to the risks and uncertainties described in the documents filed by the company with the Securities and Exchange Commission, including the Company’s Form 10-K for the fiscal year ended July 31, 2008, and Form 10-Q for the second quarter fiscal 2009. In addition, the Safe Harbor language in today’s press release also applies to our comments on this call. All guidance and forward-looking statements made on this call are made as of the date hereof and we do not undertake any obligation to update any forecast or forward-looking statement except as may be required by law. With that let’s turn to a discussion of our earnings release issued this morning which included our results for the second quarter ended January 31, our 2008/2009 season to date metrics through March 1 and our calendar year 2009 resort capital plan. As we mentioned in our release our second quarter resort reported EBITDA results, which encompass the first part of the ski season, were down 8.3% reflecting the impact of the severe downturn in the economy. The Company’s Mountain segment results were negatively impacted by lower destination visitation which drove lower lift revenue, into a greater degree, a decline in our ancillary business revenue including ski school, dining, and retail rental. This was partially offset by strong Season Pass revenue and Pass skier visitation including from our new Epic Season Pass holders. The strong Season Pass sales, which are generally sold before the start of the season, enabled us to lock in sales from a large portion of our Colorado in state guests, as well as a portion of our destination guests, before the commencement of the major part of our ski season. Total Season Pass sales, including the Epic Season Pass, increased by $17.1 million, or 22.1%, as of January 31. 2009 for the 2008/2009 ski season over total Season Pass sales for the entire 2007/2008 ski season. As a reminder, we record Season Pass sales as revenue over the course of the second and third quarters. Our lodging bookings as of January 31, 2009 were down 14.9% to the prior year and reflect a much closer booking window experienced through out this winter ski season. Lodging segment results benefited from the acquisition of Colorado Mountain Express as the beginning of the current year second quarter; the full period operations of the Arrabelle compared to start up and pre opening expenses incurred in the prior year; and the renovation of the Lodge at Vail as part of the Vail Front Door real estate project. Our Real Estate segment improved results reflect the timing of closings and mix of units sold, including the current years second quarter closings of six Lodge at Vail chalets, one Arrabelle unit and three Crystal Peak Lodge units, compared to the number and type of closings in the prior year. Overall, relative to the unprecedented environment we are in, our results reflect the strength of our assets, brand, Season Pass programs, and the passion of our employees in delivering the highest quality experience to our guests. Very importantly in these times, our balance sheet remains strong with net debt leverage of only 1.2x trailing 12-month total reported EBITDA. No borrowings under our revolver and virtually no principle maturities due on any of our debt through 2013. I would also like to provide you with an update on the ski season metrics for the comparative period from the beginning of the ski season through Sunday March 1, 2009 and for the similar period year through Sunday March 2, 1008,which includes interim period data and is subject to fiscal third quarter end review and adjustments. Importantly, these metrics reflect similar trends with the previously disclosed season to date period through January 4, and what was disclosed today through January 31, when compared to the same periods of the prior year, despite a worsening economic environment. Season to date total skier visits for the Company’s five mountain resorts were down 5.1% for the season to date period through March 1, 2009, compared to the prior year season to date period ending March 2, 1008. Season to date total lift ticket revenue through March 1, 2009, including an allocated portion of Season Pass revenue for each applicable period, was down 8% compared to the prior year season to date period ended March 2, 1008. Our ski school revenue trends remains consistent with what we reported in early January and our dining and retail rental revenue trends, while having worsened during January, have stabilized and are consistent with the trends through the period through January 31, 2009 compared to February 2, 2008. Additionally, the bookings through the Company’s central reservations and directly at the Company’s owned and managed properties as of February 28, 2009 were down 13.9% in room nights compared to the same prior year period, inclusive of actual guest stays season to date. We believe these trends reinforce that while guests may be spending less, there is still very strong demand for our vacation experience even during this challenging environment. I wanted to also mention that as we face the challenges of the current economic environment, we had previously implemented a cost savings plan to streamline our operations by limiting compensation increases and suspending our 401K matching benefit, targeted staff reductions, consolidating purchasing activities, and reducing outside third party fees and other operating expenses. While I believe our results and metrics disclosed today indicate that Vail Resorts has performed admirably so far in a tough environment, and prudent management of the Company over the last five years has left us in a relatively strong financial position, we have lowered our guidance today which Jeff will review in detail: as we currently estimate that our profitability will be significantly down this year. As such, we are responding to our lower performance and preparing for what could be a sustained challenging environment in the future. Today we announced, in a separate release, a company wide wage reduction plan targeted at further reducing our labor costs. Under the plan all affected employees of the company will have their salaries reduced on a sliding scale from2.5% for seasonal employees, to 10% for executives. In addition, as part of the wage reduction announcement, we have made the decision to issue stock awards to each full time year-round, employee of the company, with a value on a sliding scale from 1.5% of salary to 7.5% of salary for executives. This will increase the number of employees owning stock from approximately 260 to over 2,500 allowing many more of our employees to participate in the performance of the company. As for me personally, I have decided to not take any salary for a 12-month period and then receive a 15% salary reduction. Each outside member of our Board of Directors has also decided to reduce their annual cash retainer by 20%. We estimate that this wage reduction plan, combined with certain other adjustments, will result in annualized labor savings of over $10 million. We have chosen a wage reduction plan rather than implementing broad based layoffs to preserve as many jobs as possible and thereby ensure we protect the guest experience that lies at the core of our company. By asking everyone to take less, starting at the top, we can continue to focus on our mission of extraordinary resorts, exceptional experiences. I would now like to turn the call over to Jeff who will provide you with an over view of our results for the second quarter of fiscal 2009. I will then discuss our calendar 2009-resort capital expenditure plans, as well as other exciting news at Vail Resorts. Let’s now turn to Jeff for our results.
Jeff Jones: Thanks Rob and good morning everyone. Earlier this morning we released our earnings for our second fiscal quarter ended January 31, 2009. Also, this morning we filed our Form 10-Q for the second quarter. Turning to the highlights of our second quarter results, as Rob mentioned our resort segment results, which includes a combination of our Mountain and Lodging segments were negatively impacted by the current economic conditions. Starting with our mountain segment, the economic challenges drove lower destination visitation and also resulted in overall lower lift ticket revenue, despite the favorable impact of the increased Season Pass sales. Additionally, we saw a decline in ancillary business revenue and contribution. Lift ticket revenue decreased 5.1% driven by a 19.3% decrease in skier visits excluding Season Pass holders partially offset by higher Season Pass revenue as well as a 4.6% increase in ETP excluding Season Pass holders. Our Season Pass revenue increased 18.2% and effective pass price increased 8.4% driven by the strength of our Season Pass program and the introduction of the Epic Season Pass. With the increase in Season Pass visits causing the overall decline in effective ticket price or ETP of 4.4%. Our overall visitation was supported by strong pass visitation, especially from the new Epic Season Pass holders who have skied more on average per pass season a day. The significant increase in visits from Season Pass holders, which partially caused the offsetting decline in other visits, was primarily driven by the introduction of the Epic Season Pass. Additionally, the mix of destination to in state guest visits was approximately 52% to 48% respectively in the current year quarter, compared to approximately 59% to 41% respectively in the prior year quarter. Colorado skier visits were up 0.95 while total skier visits were down0.8%. Skier visits were up year-over-year in the Christmas/ New Years time period. I also wanted to highlight that the Company’s lift revenue and skier visit year over year variance percentages were favorably impacted by the timing of the current years second quarter end which ended on a higher volume Saturday, compared to the prior year quarter ending on a Thursday. Total skier visits an lift revenue were down approximately 4.5% and 7.5% respectively when comparing the season to date period ending Saturday January 31, 2009 with the prior year period ending Saturday February 2, 2008. Revenue for the Company’s ancillary business ski school, dining, and retail rental operations were all impacted by the current downturn in the economic environment and resulting decrease in destination visitors and overall spending per guest. Ski school revenue decreased 17.6% and was especially impacted by a sharp decline in private ski school lessons. Dining revenue decreased 11.4% driven by the decline in total on mountain food and beverage transactions and lower check averages, coupled with a decrease in overall fine dining. Retail rental revenue decreased 11.3% due to lower sales in rental volumes at the Company’s mountain locations. Ski school, dining, and retail rental revenues decreased by approximately 20.1%, 15.5% and 13.9% respectively when comparing the current year’s season to date period ending Saturday January 31, 2009 with the prior year period ending Saturday February 2, 2008. Other revenue increased 9.3% due primarily to the opening of the Vail Mountain Club. All of this culminated in a 7.6% decrease in Mountain segment revenue. Partially offsetting the revenue declines Mountain segment operating expenses decreased by 4.3% attributable to a decline in variable based operating expenses including US Forest Service fees, credit card fees, other resort fees, ski school and dining labor, dining and retail rental cost of sales, as well as a lower allocated corporate overhead expense. Driven by the revenue decline, Mountain reported EBITDA declined 11.9% in the quarter compared to the prior year quarter. Turning to our Lodging segment, the second quarter lodging results were impacted by similar trends realized by the Mountain segment, including the decline in destination visitation to our mountain resorts, as well as being impacted by a decline in group room nights with a shift to transient room nights. During the quarter the Company’s owned and managed properties offered promotions and packages to attract guests to the mountains, driving a decrease in ADR. Second quarter ADR decreased 6.4% and RevPAR decreased 15.1% of the Company’s owned hotels and managed condominiums on a same store basis, excluding the Arrabelle, compared to the prior year’s second quarter. Overall, the Lodging segment experienced significantly less visibility with a much shorter booking window in both peak and non-peak periods. Lodging revenue increased 18.2% primarily due to the full period impact of the opening of the Arrabelle in January 2008 and the acquisition of CME on November 1, 2008. Excluding the impact of the Arrabelle and CME, Lodging segment revenue would have decreased 13.2%. The current year’s second quarter included $7.9 million of revenue and $5.4 million of expense from CME while the prior year quarter included $2.2 million of pre-opening and start up expenses at the Arrabelle. Excluding the acquisition of CME and the operations of the Arrabelle in the current year quarter and the Arrabelle’s expenses in the prior year quarter, operating expenses would have decreased 12.5% attributable to the variable nature of a large part of lodging segment expenses which were reduced commensurate with a similar revenue decrease excluding the Arrabelle and CME. Also to note, during the second quarter of fiscal 2009 the Company opened The Osprey at Beaver Creek, a RockResort, formerly the Inn at Beaver Creek following a $7 million renovation. Highlighting our Real Estate segment, as many of you know our Real Estate segment results are primarily determined by the timing of closing and the mix our real estate sold in any given period. Additionally, besides project specific profit, which can vary significantly by quarter based on the timing of closings, real estate reported EBITDA each quarter includes administrative and overhead costs, allocated corporate G&A, and marketing expenses. Real Estate revenue was $89.2 million in the second quarter of fiscal 2009 driven by the closings on six Lodge at Vail chalets, one Arrabelle unit, and three Crystal Peak Lodge units. To date the Company has closed on 12 of 13 Lodge at Vail chalets with the remaining unit anticipated to close in the spring of 2009 due to the extensive nature of the buyer upgrades associated with this unit. All 66 Arrabelle units, with the final unit closing on March 9, 2009, and 42 of 45 Crystal peak Lodge units. I also want to mention that prior year real estate closings were primarily in the second half of the fiscal year which will balance out real estate comparative earnings for the fiscal year. On the heels of the highly successful Vail Mountain Club, where we closed on 384 Vail Mountain Club memberships for total proceeds of $70.1 million, the Company also launched the marketing of our newest signature private club, the Arrabelle Club, as part of the Arrabelle Hotel, offering member amenities such as luxurious locker facility, valet parking, personalized ski boot and spa access, just steps from the Eagle Bahn Gondola in Vail Square. To date the Company has closed on 11 Arrabelle Club memberships for total proceeds of $1.2 million. Taking a look at the bottom line, net income was $60.5 million or $1.65 per diluted share in the second quarter of fiscal 2009, compared to net income of $51.3 million or $1.31 per diluted share in the second quarter of fiscal 2008. The results were also impacted by increased depreciation due to a higher level of capital expenditures associated with placing in service significant resort assets, which included the Arrabelle, a new skier services building, the Vail Mountain Club, and several gondolas and lifts within the last few years. Net income was also negatively impacted by a $1.7 million decrease in investment income due to a reduction in the average interest earned on investments since the average interest rate is decreased by approximately 2.5% points in the current year versus the prior year, as well as a decrease in average invested cash during the period. In addition, I wanted to highlight that included in the six month net income results in the prior year was the receipt of the final cash settlement from Chico Holdings LLC, of which $11.9 million net of final attorney’s fees and on a pre tax basis was included in contract dispute credit net in the prior year’s results. As Rob mentioned earlier, we are very fortunate that we have a strong balance sheet. At January 31, 2009 the Company had cash and cash equivalents on hand of $139.2 million, net debt of $1.2x trailing 12-months total reported EBITDA, and a $400 million senior credit facility which matures in 2012 with no revolver borrowings under the facility, currently priced at LIBOR plus 50 basis points. Very importantly in this environment, the Company has approximately $3 million of principle maturities due in total through 2013. In addition, the Company is currently self-funding its two real estate projects currently under construction, the Ritz Carlton residence is Vail and the one ski hill place in Breckenridge with construction progressing on budget and on schedule with 1/3 of expected project costs invested to date. We expect to incur approximately $280 to $300 million of remaining development costs subsequent to January 31, 2009 on these projects. The Company remains in a strong position from a capital structure and balance sheet perspective that we believe will enable us to navigate through the current environment, even if prolonged, while still delivering on our mission of extraordinary resorts, exceptional experiences. Now let me turn to our fiscal 2009 outlook. 2009 has been a challenging time for the entire travel industry and our company has certainly been impacted with negative trends in our resort business. We do expect that for the remainder of the fiscal year the trend of our results for the prior year will worsen from the results realized in the second quarter. This is due primarily to the third quarter being a historically larger revenue quarter than the second quarter with the continuing negative trends having a greater impact. In addition, our real estate brokerage joint venture, included in Mountain segment results as mountain equity investment income net, was positively impacted in the first half of the current fiscal year by project related closings with the remainder of the fiscal year anticipated to experience a significant decline in brokerage fees due to virtually no project closings and much lower residential activity. In the fourth quarter of the prior fiscal year there as also some one time favorable expense credits in the areas of Workman’s Compensation, property tax, and health insurance costs, which are not expected to reoccur in the fourth quarter of fiscal 2009. In our Real Estate segment, minimal second half closings are anticipated as the vast majority of the units are already closed for the first half of the current year on projects now completed. Since we provided our initial fiscal 2009 guidance in late September 2008 the overall macro economic environment has continued to deteriorate, causing us to disclose at the time of our first quarter fiscal 2009 results release that results could fall below the lower end of our original guidance range given the advanced booking we were seeing at that time. Based on results to date and our current visibility into March and April, we believe our earlier concerns are well founded and now estimate that full year resort reported EBITDA, the combination of our Mountain and Lodging segments, to range from $164 million to $174 million. The resort guidance includes a range for mountain reported EBITDA of $152 million to $162 million including $4 million of stock based compensation expense and lodging reported EBITDA to range from $9 million to $15 million including $2 million of stock based compensation expense and approximately $5 million of contribution from CME. Real estate reported EBITDA is expected to range from $40 million to $44 million including $4 million of stock based compensation expense. Incorporated in our new guidance range is an increase to our real estate reported EBITDA guidance of $6 million at the low end of the range to $4 million at the high end of the range, which is favorably impacted by an improved contribution from our Crystal Peak Lodge development and other reduced costs. Based on our current estimates we expect net income to range from $41 million to $51 million. Finally, turning to our repurchase activity, during the second quarter of fiscal 2009 the Company repurchased 317,727 shares of common stock at an average price of $23.48 for a total amount of approximately $7.5 million in the quarter. Since the inception of this program into fiscal 2006 the Company has repurchased 3,000,600,235 shares at an average price of $38.98 for a total amount of approximately $140.3 million with 2,000,399,765 shares remaining available under the existing repurchase authorization. The purchases under this program are reviewed by the Company’s Board quarterly and are based on a number of factors to determine the appropriate uses of excess cash, including the Company’s expected future financial performance, the Company’s available cash resources and competing uses for cash that may arise in the future, the restrictions on the Company’s credit facility, and the indenture governing the outstanding 6.75% senior subordinated notes, prevailing prices of the Company’s common stock, and the number of shares that become available for sale at prices that the Company believes are attractive. At this time I would like to turn the call back to Rob.ol
Rob Katz: Thanks, Jeff. Now turning to our calendar 2009 resort capital expenditure plan. Over the past four years the Company has made significant investments in resort assets to enhance the overall guest experience. Highlighting several of these recent major discretionary capital expenditures, the projects have included the Keystone River Run gondola, the Breckenridge gondola, two new high speed chairlifts at Vail’s, chairs 10 and 14, Heavenly’s high speed Olympic Express chair lift, Beaver Creek’s Buckaroo Express gondola, and the Ranch, a new children’s ski school on Mountain check-in dining building, the Osprey at Beaver Creek renovation and new central reservations and web platform development. Additionally, the Company has recently benefited significant resort assets that have come from the Company’s real estate development activity including the Arrabelle project which included the Arrabelle Hotel, spa, private club, skier services and commercial space and the Vail Front Door project which include the Lodge at Vail spa and suite rooms, new skier service area, and Vail Mountain Club. Over the past three calendar years of 2006 through 2008 the Company has expended close to $300 million in resort capital expenditures excluding the resort assets that have come from our real estate activities. In recognition of the current economic climate and given these significant investments that the Company has made in resort assets over the past several years, the Company expects to spend approximately $50 to $60 million of resort capital expenditures in calendar 2009, including $32 to $37 million for maintenance capital expenditures that the Company believes are necessary to maintain the high quality appearance and level of service at the Company’s five ski resorts and through out its hotels. Highlights of the maintenance capital expenditures include snow cat replacements, lift upgrades, snow making equipment, lodging furniture, fixture and equipment, and rental equipment fleet capital. This year’s discretionary projects will include a skier bridge at Keystone following the completion of the new Keystone gondola enabling guest’s easier access to ski across the river to the new base of the gondola and River Run village; the build out of a new restaurant at Peak Seven and Breckenridge in conjunction with the Crystal Peak Lodge real estate project; completion of a brand new online planning and booking platform offering guests a much more seamless and useful way to make reservations at the Company’s resorts; and a new tubing lift and tubing hill expansion at Heavenly to generate both winter and summer business. Our level of planned capital expenditures for calendar 2009, while responding to our current economic environment, still underscores our commitment to the overall guest experience and includes investments to maintain our current high quality standards. Looking at the overall landscape in travel, we believe we will begin to see a return in the summer to the classic domestic family vacation enjoying everything that makes America so special. With gas prices back to very affordable levels we also expect to see more drive to vacations than in years past. We believe our company is perfectly positioned to begin to capitalize on those trends as our mountain resorts are desirable in both the summer and winter seasons. In deference to that, today we also announced a new all-inclusive summer family vacation experience in Colorado’s Rocky Mountains. Epic Summer a Colorado Family Adventure, will be its name. Vail Resorts is combining the best of its Keystone, Breckenridge, Vail, and Beaver Creek Mountain resorts in Colorado with classic Rocky Mountain summer adventures for guided all-inclusive family vacation experiences. In these challenging times we’re seeing luxury now defined as companies providing a good value and people spending quality time with friends and loved ones. Our Epic Summer vacation will have the best that Colorado’s Rocky Mountains have to offer with everything included at one very attractive price. On the six nights, seven days itinerary families will experience the Continental Divide in a trip to world-renowned Rocky Mountain National Park, whitewater rafting, horse back riding on Beaver Creek Mountain; a gondola ride to the summits of Vail and Keystone Mountains, and the historic Old Victoria mining town of Breckenridge. The four-day itinerary is an abbreviated version of this seven day guided trip. While we don’t anticipate a material contribution from this new venture in its first summer of operation, we are very excited to leverage our existing infrastructure and people including our lodging, lifts, restaurants, vans, and guides to offer a new vacation experience to many of our existing guests and what we hope will be new guests to our resorts at a value price. While the current ski season is still in full swing, we are already planning for the ‘09/’10 season. As part of that, today we also announced that the highly successful Epic Season Pass will return for the ‘09/’10 ski season. Initially at last year’s introductory price of $579.00 for those folks who are willing to commit on or before April 9, 2009. And, we will be heavily marketing this Epic Season Pass and price point opportunity during the high-traffic spring break period this season. The Epic Season Pass offers unlimited and unrestricted days of skiing at our five resorts and we had approximately 60,000 Epic Passes sold for the ‘08/’09 season. At this value price point it offers a real win-win for our guests who are willing to commit to skiing at our Vail Resorts properties well in advance of the season. It also enables us to lock in a greater portion of our lift ticket revenue before the ski season kicks off with our Season Pass program growing from 23% of total lift revenue in fiscal 2005 to a forecasted 34% of expected lift revenue in fiscal 2009. While we continue to navigate through these unprecedented times we are committed to keeping our focus and efforts at the highest levels as we strive to come out on the other side of this recession in an even stronger position. We are more passionate than ever before on delivering on our mission of extraordinary resorts, exceptional experiences for the millions of visitors we are seeing at our resorts spending their hard-earned money with us. At this time Jeff and I will be happy to answer your questions. Operator we are ready for questions.
Operator: (Operator Instructions) Your first question comes from Felicia Hendrix with Barclays Capital.
Felicia Hendrix - Barclays Capital : Rob you actually just wrapped up the call saying that you think 34% of lift revenues comes from Season Pass in ’09, but what I am wondering is a lot of the pass sales last year occurred before things started to deteriorate in September and I’m just wondering where you’re getting your confidence from that you’re going to get a lot of these pass holders to renew for this coming season?
Rob Katz: Two things, one is I don’t think I really commented per se on what sales would be for next year. I think what we are saying though is that we have seen a tremendous amount of enthusiasm from the holders of these Epic Season Passes this year. Based on a lot of our research with them we actually do believe that there is a high intent to return. We also did sell a pretty big chunk of our Epic Passes, and our Colorado Passes for that matter, after September of last year to the entire fault time period. I think what we’re seeing this year, in terms of the higher pass usage at our resorts its that people are really purchasing these passes and using that as their full vacation experience for the entire winter and I think they feel like they are getting a tremendous value from that. I guess that is what gives us confidence, but we are not making any projections at this point in terms of what pass sales will be like for the ‘09/’10 season yet.
Felicia Hendrix - Barclays Capital : Okay and then moving on, I am wondering how responsive your destination visitors have been to the promotions out there. I know you guys are doing a lot, but I am wondering if you think there are some other things you could do to encourage destination visitation or if the current promotions and discounts are meeting those needs.
Rob Katz: I think what we’re finding is that the biggest driver of getting people to make a decision to come to visit us right now, in terms of those who are looking for a deal, is really lodging. There is no question that we do packaging in either lift tickets or ski school, or other products. With that, the lodging is the primary driver and then airfare. I think we’ve certainly been fortunate this year that airfare has come down through the entire season. I think that’s helped somewhat offset the huge headwinds that we’ve been facing from the macro economic environment, but I think lodging is the primary driver and so we are constantly – we’ve been out every week with new promotions, new opportunities for people to come whether that was the holidays on us, or spring break on us, or ski free, stay free. I mean, we are just constantly promoting and hitting that drum. What we are seeing is that people are waiting until the very last minute, sometimes within the last two weeks, and then looking around at the best deal and making a decision. Obviously for those destination folks who have already purchased a pass we know they are coming. But, even getting them out for another trip, even if they are not paying for more skiing, is still important to us, because it does help drive some of the other ancillary businesses and our lodging business.
Felicia Hendrix - Barclays Capital : Thank you and finally I was wondering if you could give us an update in terms of sales of real estate at One Ski Hill Place and also the Ritz Carlton?
Rob Katz: There have been no new sales at the Ritz Carlton residences. We did have one sale just the other day on a two-bedroom unit at One Ski Hill Place.
Jeff Jones: Three this winter. We are up to 53 at One Ski Hill Place.
Felicia Hendrix - Barclays Capital : Great, thank you.
Operator: Your next question comes from Jeff Donnelly with Wachovia Securities.
Jeff Donnelly - Wachovia Securities : I would like a point of clarification on your bookings. I think you mentioned in your release that inclusive of guest stays to date room rates are down, I think it was 13.9% versus 23.3% in December. To be clear, when is the start of the period that you’re using? Is it the start of the ski season or is it just for the particular quarter?
Rob Katz: No, it’s the start of the ski season.
Jeff Donnelly - Wachovia Securities : Okay and this is where I might be comparing apples and oranges, but if room night bookings to date in future periods are down, I think it was 13.9 as of the end of February, but hotel occupancy is down say 9% in the quarter, setting aside changes in booking periods wouldn’t that imply that room nights for all future periods alone are in fact down much more than 13.9, I don’t what the math works out to be, but maybe high teens?
Rob Katz: Yes, I think that is an inference that you can draw, but what we’re seeing though is the close end bookings are up dramatically and because of that, that trend has been… In other words, if you looked at our booking number at the end of December it was down around this 15%, yet obviously you just commented on what our occupancy was down for the quarter. So, what we’re seeing is a big pick up short in and so right now when we’re giving you the numbers as of the end of February that is still not even close enough to spring break to actually see the full impact, which is certainly unprecedented ever in lodging. But, we’ve been tracking the bookings within two weeks of a stay and for the peak periods in particular it is up dramatically. I know for Christmas the number of bookings we got within two weeks of Christmas was up 64% over last year and we’ve seen similar trends, maybe not to that degree, but similar trends on each weekend and each peak period.
Jeff Donnelly - Wachovia Securities : Is your gut then that maybe in the next quarter, for example, that that decline will be somewhere between let’s say the 14 that you saw in the most recent period and the 23 you saw as of December?
Rob Katz: No, we’re expecting to see occupancy declines that are consistent with what we reported in the second quarter and not more than the current down 14% that you’re seeing in bookings. Obviously this has been a volatile market and the visibility is tough, but based on the trends we’ve seen to date, particularly during peak periods, we’ve seen a lot of close end bookings that have closed that gap quite a bit.
Jeff Donnelly - Wachovia Securities : Okay switching over to Epic Pass, I mean certainly the landing destination demand seems to have been partially offset by locals who have taken advantage of your Epic Passes. I think as Felicia said, some of it well timed. I am curious how you balance discounting for locals who may or may not have come anyway; I guess you will never know, versus picking up market share and perhaps some cash flow visibility from the pass sales. How do you make that trade off in your mind?
Rob Katz: Folks who upgraded from a Colorado Pass to the Epic Pass are actually providing us with a price increase and so we didn’t see very many locals who were buying single-day tickets before all of a sudden switching to the Epic Pass or locals who didn’t buy anything before switching to the Epic Pass. Locals whether they are locals in our mountain resorts or in the front range of Colorado, or our Heavenly, for the most part were moving from one pass to another and the Epic Pass, for most of them, was a price increase. It is the destination guest, obviously, for those who are willing to come out a lot are potentially getting a good discount. But, in this environment getting people locked into that pass and then getting them to stay in our lodges and eat food and all the rest of it has really, we think, helped our ear dramatically, but it is not locals. I mean, the locals may be skiing more per pass, which has helped our skier visits, but when you look at the lift ticket revenue decline of about 8% that is because of locking in a lot of the destination guests as well, and quite frankly, providing terrific promotions and terrific offers, and really connecting with this core group of customers where skiing is really a part of their life. They want to come out; we just have to give them a way to do it.
Jeff Donnelly - Wachovia Securities : Do you have any color on how many destination skiers bought the Epic Pass and came more than once?
Rob Katz: We do. We’re not disclosing that at this point, but we do.
Jeff Donnelly - Wachovia Securities : Okay and your active repurchasing stock, have you continued to do that post quarter end, and I guess what you’re thinking on allocating capital in the future versus to more stock or repurchasing debt versus just holding the cash?
Rob Katz: I think we’re probably taking a more cautious approach right now towards repurchased activity in the future, given the economic environment, given some of the other announcements that we made today. Obviously I think we’ve been consistent with our program. We’re not shutting it off. We’re keeping options available, but I would say taking a more cautious approach.
Jeff Donnelly - Wachovia Securities : What has the activity been around the club memberships or sales that Vale and Arrabelle? I know you gave us that stats on what the sales have been, I think, to date. But, the last 30 to 60 days has there been good interest in tours and closings on those club memberships, or has that really pulled back?
Rob Katz: No question it has pulled back. I think the entire market for real estate products and club memberships has definitely softened quite a bit over the last 12 months. I think that the good news for us, though, is that we are bringing in new members to the club. We can actually, as opposed to the Vale Mountain club; this is a club that people can experience first hand before making a decision. We think this is a club that we think offers a tremendous value and we’ll just continue to plug away and we intend to make good long-term progress on it, but there’s no question that the velocity of membership sales has declined over the last 12 months.
Jeff Donnelly - Wachovia Securities : Okay, great. Thanks.
Operator: Your next question comes from Nichole Jeroko with Babson Capital.
Nichole Jeroko - Babson Capital: I would like a point of clarification on your CapEx guidance. That does not include your expected real estate development spending or?
Jeff Jones: That is correct.
Nichole Jeroko - Babson Capital: Do you have an estimate on your real estate development spending?
Jeff Jones: Well we actually looked at that, really we only have two projects that are under construction now. The other projects have essentially all been completed and the range for what’s left to spend, not just in the next fiscal year, but to project completion in 2010 for both those projects One Ski Hill Place and the Ritz Carlton residence projects is a range of $280 to $300 million.
Nichole Jeroko - Babson Capital: Right, I am wondering what you are expecting to spend in the next fiscal year.
Jeff Jones: We haven’t broken that out.
Nichole Jeroko - Babson Capital: You haven’t. Oh, okay, so it’s just the number for the next two years that you’re giving?
Jeff Jones: Correct.
Nichole Jeroko - Babson Capital: Okay, thanks.
Operator: Your next question comes from Will Marks with JMP Securities.
Will Marks - JMP Securities: My first question is on the three Crystal Peak units, I think at least two you have taken them back. What about the third one?
Jeff Jones: We have taken all three of those back that did not close, so we retained the deposits and have the units back and are remarketing them right now.
Will Marks - JMP Securities: Okay great and the early pass pricing, are you doing the same for the Colorado Pass or any other product?
Rob Katz: We haven’t announced the Colorado Pass pricing yet. That will be coming out in early April. We did announce the Heavenly Season Pass which we announced would be going out a reduced price to last year to try and instigate business there. Especially with the California economy struggling so much, I think we have a dichotomy where the Colorado economy, quite frankly, is quite strong, relatively speaking, to the rest of the country, where the California economy is struggling. I think we’re going to try and make our pass product for Heavenly as good a value as possible for those folks.
Will Marks - JMP Securities: Does your language or the fact that you have stated you are maintaining this Epic Pass price early on imply that you will definitely raise the price at some point in the season?
Rob Katz: No, the language states that we are guaranteeing that price through a certain date and then when we get to that date we look at it and make a decision. Certainly in Colorado, in particular, we’ve had a pretty long history of raising prices on those price break dates.
Will Marks - JMP Securities: Okay and on the ski visits through January, a pretty wide disparity there. I can understand Heavenly being down significantly due to weakness in snow in particular, but how about between Vale and Keystone, there is a 20 point differential. Can you explain that?
Rob Katz: I think what we’re seeing is in Vale and Beaver Creek I think we’re seeing the Epic Pass there really allowed people who are fans of Vale and Beaver Creek, who may have been on the Colorado pass before, to get a lot more days at Vale and Beaver Creek. They are not counting their days. They don’t have to worry about the 10-day limitation. There are also no restrictions on the Epic Pass so they can visit Vale and Beaver Creek during the holiday periods, where again, those who were on the Colorado Pass before could not. I think what you’re seeing in Vale and Beaver what you’re seeing is that we have a core customer who is still coming, but at the same time isn’t going to spend as much money. That is how their cutting back on their total vacation travel budget. For Keystone, a lot of those folks were not spending a ton of money to begin with at Keystone and when they cut back they may be actually cutting back their entire trip, or they may be cutting their trip down from seven days to three days. So, I think Keystone is seeing a much bigger shrink in actual visitation, because the income and demographics of their guest are such that that’s where they have to cut back. I think, interesting enough, Breckenridge obviously doesn’t benefit from the Epic Season Pass as much as Vale and Beaver Creek, or really very little at all, but is still seeing some pretty good stability in its visitation and I think that comes from, again, the customer base there really boiled to the entire experience that Breckenridge provides.
Will Marks - JMP Securities: Great, okay, thank you and on real estate can you give an approximate date of first deliveries and final deliveries expected at the Ritz as well as at One Ski Hill?
Rob Katz: At this point we’re not going to lock into that. What I can say is that it is late spring and late summer, early fall, is the dates for One Ski Hill Place and the Ritz respectively, for 2010, but as we get a little closer we will be able to nail down those dates a little bit more. But, we don’t want to commit to anything right now.
Will Marks - JMP Securities: Your visitation through February through March 1 seems to be fairly strong and the bookings through the end of February are fairy strong and the drop in guidance is pretty significant. I am wondering where that is really coming from. Is it coming from the destination visitors showing up, but not spending as much? I am trying to get a sense of where visitation is going.
Rob Katz: I think what I would say are two things: one is the third quarter is a bigger quarter than the second quarter, so the trends that we see get magnified in the third quarter. That’s number one. Number two, our brokerage business, which Jeff mentioned earlier, is the difference between their first half performance and their second half performance will be significant because we’re not expecting very much velocity of transactions in Eagle or Summit County in the second half of the year. In the first half there were the closings on Crystal Peak and the closings on the chalets. So that is going to be a major difference. We also, at the end of last year, did a great job on some of our medical plans and Workman’s Compensation and other things where we actually got some credits. We’re not expecting that return this year and so you combine all those things together and that is why we’re being more conservative in the second half. What I would say is our performance has actually held up fairly consistently through out a deteriorating economy, but there is no question that between the end of January and even today the economy has gotten worse and therefore we are going to be more conservative in deference to that.
Will Marks - JMP Securities: Okay and on a related note, I think you typically don’t guide in this regard, but can you give any data or qualitatively state what third quarter visitation should be? It appears that the first month was well in within the single digits. Do you expect the whole quarter to remaining the single digits in terms of a decline?
Jeff Jones: Yes. I think that this whole worsening third quarter, just to reiterate what Rob said, when you have a higher revenue quarter and you have negative trends, which we have, and we have listed those through the beginning of March which, again, have remained very similar to what we’ve been seeing earlier in the year. But, when you have a negative trend on an absolute basis against a higher revenue base you’re going to have a higher negative contribution coming out of that revenue. So, I just wanted to make sure that you know that’s what we’re trying to say in the notes here. That is a big thing. The other piece is the two-day impact that we had to lay out in the release and today on the call that flips back the other way in the third quarter. The fact that we always close our resorts out at the same time periods and you picked up that timing in the second quarter favorably a little bit and that is why the trends looked better at the end of January 31 on an absolute basis. Now obviously when we compared it to the same Saturday prior they showed the same trends we’ve been talking about. That absolute impact within the second quarter bounces back in the third quarter a little bit. When you add all those things up that Rob just talked about and this one as well, that is a little more conservative feeling at this point. From that perspective, that is where we came out at.
Will Marks - JMP Securities: Right, okay thanks guys.
Operator: Your next question comes from Hayley Wolff with Rochdale Securities.
Hayley Wolff - Rochdale Securities : First, in the Real Estate segment, can you talk about any changes you might be making to the overhead there as you go into the slow downs?
Rob Katz: Yes, we did make some reductions in our overhead expense. Actually we’ve been making them along this entire year, some additional people were let go yesterday as part of that given that we’re now pushing off projects like later phases of One Ski Hill Place and One River Run, but at the same time we are very actively focused on of course both the building Eight O’ One at One Ski Hill Place and the Ritz project and Ever Vale, which we have a lot of effort going into. What I would say is we are trimming, but at the same time it’s a core part of our business and it’s not something that we’re going to be out of per se.
Hayley Wolff - Rochdale Securities : In the past it has kind of been a $20 million overhead number. How big of a reduction will we see there?
Rob Katz: We don’t give that kind of guidance, so it is not something I can answer.
Hayley Wolff - Rochdale Securities : Okay. Then talking about the mix of visits shifting to Vail and Beaver Creek, is there any intelligence you can glean from that in terms of thinking about marketing or investing in the resorts going forward?
Rob Katz: I think what it says is that there is no question that Vale and Beaver Creek both have, Vale in particular is the number one brand in skiing, we believe, in the world. So, there is no question that once we offer something like the Epic Pass and allow people to visit it more often that that is going to drive visitation, number one. Number two, I also think that in a year like this year where maybe those people who were purchasing passes were probably not making other vacation choices, because they already purchased their skiing; so we saw a lot more visitation there. What I would say is we didn’t learn anything new by this visitation pattern from the Epic Pass in terms of how attractive the resorts are, but there are different income demographics at the different resorts and we market them appropriately. I think if you looked at last year, Keystone, which is maybe a resort that’s not performing as well this year with visits, but last year performed extraordinarily well. We don’t jump too quickly to conclusions in terms of changing the basic brand promise for each of the resorts.
Hayley Wolff - Rochdale Securities : So it’s just kind of a natural asset?
Rob Katz: Yes.
Hayley Wolff - Rochdale Securities : Have you looked at matching up air travel into Vail versus room bookings? Is there any kind of disconnect? I say that because I know people who are flying in for the holidays and have yet to book their room, so I’m just trying to see if you’ve tracked it any other way?
Rob Katz: Yes, we actually have seen, I think right now, flights are an earlier indicator of traffic and overall occupancy than advance bookings. So, you are right, people are booking their flights before they are booking their rooms. What I would say is that the bookings into Eagle are consistent with what we’ve been seeing all year long, which is this close-end booking trend. Definitely those bookings support what we’re seeing everywhere else.
Hayley Wolff - Rochdale Securities : Last year you had an early Easter which kind of truncated ski season for a lot of the destination guests. Given the push out this year, is there anything that you’re seeing in Easter bookings that’s somewhat encouraging?
Rob Katz: Probably not, what I would say is that we know that April will be better this year than it was last year, but I think that trend, which in most normal years we would see today, because of the close-end booking window it will probably take us towards the end of March to see when people could be booking for Easter. It sounds loony, but it’s true. People, even for these peak times, are really waiting for that last week or two before making their decision.
Jeff Jones: The other thing I would add to that on April is our early season and then our late season, which April certainly is, would be our most weather impacted seasons. I think in this environment people are going to hold off and wait to book until they’re confident that the experience in that late spring period is going to be good before they want to commit their dollars to it. They have ability to do that this year through the late booking methodology everyone has been using.
Hayley Wolff - Rochdale Securities : What kind of expectation for Easter is built into the guidance you gave?
Rob Katz: I think what’s built in is an appropriate kind of bump, but not the Easters that we’ve seen in years past.
Hayley Wolff - Rochdale Securities : So you have April up versus last year in your guidance?
Jeff Jones: Yes.
Hayley Wolff - Rochdale Securities : Okay, thanks.
Operator: Your next question comes from Mimi Noel with Sidoti & Company.
Mimi Noel - Sidoti & Company: First I wanted to ask about whether or not you can make any general observations about your competition along the I-70 corridor perhaps closer to Denver. Are you seeing them performing better or worse than Vale, Beaver Creek?
Rob Katz: We’re not going to comment on that. I don’t know that we have great visibility into that right now. I think at the end of the ski season the Colorado resorts do announce their skier date numbers, so we will have some visibility at that point, but as you know Interwest and Aspen are both private companies and so we don’t really get a tremendous amount of detailed information from them.
Mimi Noel - Sidoti & Company: I got it, okay. Then the second question is about the CapEx guidance. Obviously a big part of the strategy at Vail Resorts is your continual investment in the resorts with these upgrades and making it a comprehensive, positive experience for the entire family. But, it seems as though the CapEx budget was originally, if I recall correctly, somewhere in the neighborhood of $50 million and then it was trimmed back to somewhere in the $40’s and now it’s looking like it could be in the $30’s and this is maintenance CapEx; so how does that not undermine one of the major tenants of your growth strategy?
Rob Katz: Maintenance CapEx for us, as we’ve always stated, has been between about $38 and $40 million. I think it has fluctuated between maybe $38, maybe above $40 by a million or two sometimes, but what I would say is we are actually not cutting back on what we believe is absolutely necessary for exactly what you’ve said which is to maintain, deliver the experience that people expect. There will not be a single guest who comes to our resorts next year who will see any kind of decline or degradation in the experience, or the facilities, or the lifts and our CapEx budget is centered around that. So, no we are not taking that down at all. What I would say is we spent over the last five years, obviously travel has been a booming business, and I think we did two things with our cash flow. One was we paid down our debt and the other one was we reinvested significantly into our properties and so we actually feel very, very good in this position going forward and we are very confident that we’ll be able to maintain the resorts not only to the current expectations, but actually beyond expectations as we go forward.
Mimi Noel - Sidoti & Company: Okay that sounds good. Thank you.
Operator: Your next question comes from Jake Hindelong with Monness Crespi Hardt.
Jake Hindelong - Monness Crespi Hardt : First on the cost side, year-to-date control has been very good. You have announced the new cuts as far as compensation are concerned. Assuming that the economy is going to continue to be relatively weak, what other cuts can we look for going into next year?
Rob Katz: What I would say to you is I think at this point with the announcement today on labor that’s not something that we’re going to be making a priority going forward. I think we feel like we have really right sized our labor. That doesn’t mean that there aren’t additional selective opportunities, but in terms of looking at a company wide effort, I think that with the announcement today we are kind of putting that behind us. The next step for us is really doing a whole second layer review of every single thing we spend money on including utilities, and paper, and all of the outside vendor fees that we have, suppliers, all the rest of it, to make sure that we have right sized that as well. One of the decisions that we made at the beginning of this year and we will stick with is that we are going to open and keep available the entire mountain and the resort and amenities and everything else that people expect when they come and so we are not going to cut back in any way on the guest experience. I think that is going to be a differentiator. I think it is also an important thing when you’re selling season passes so people know they can rely on the full experience. What I would say is that we’re going to keep a tight lid on expenses. I think there are a couple of other areas that we will be attacking, but there is no quantum change in expenses from where we are today.
Jeff Jones: Jake, just to add to that, as you said what further things can we do to impact next year. The greatest piece of the announcement today on the wage reductions will actually impact next year, because for those [interposing]…
Jake Hindelong - Monness Crespi Hardt : So that $10 million is all essentially going forward and wasn’t in the fiscal second quarter?
Jeff Jones: Well yes, none of it was and it actually gets implemented starting in April so for the seasonal people that are impacted that will actually really kick in next year fully. Then for the full time this year, obviously, the greater piece of that will be for next year.
Jake Hindelong - Monness Crespi Hardt : Okay and then as we model that out through out the course of the year for next year would it be fair to think of that more as a straight line or more seasonal on the wage side?
Rob Katz: Well a portion of it is seasonal; a portion of it is straight line. In terms of trying to model it quarter by quarter maybe that is something you can talk with Jeff or Michelle about off line.
Jake Hindelong - Monness Crespi Hardt : Okay great thanks. Then separately on the Analyst Day or the Investor Day that you’re having tomorrow, could you give us a very brief outline of what that will entail and any kind of detail on the discussion that you’ll be having about your real estate holdings?
Rob Katz: I think we will have a presentation as we always do that we will be putting together. That will be available on the web and I think if you could make it to the presentation then you will be able to see it and if not then you can take a look at the Power Point slides on the web right after that. I think we will defer having that discussion right now.
Jake Hindelong - Monness Crespi Hardt : That is very good, thank you.
Operator: Your next question comes from Chris Simm with Shankman Capital
Chris Simm - Shankman Capital: I just wanted to know how many of the Arrabelle membership units remain after the 11 at close?
Rob Katz: There is a total of 300 memberships.
Chris Simm - Shankman Capital: And that marketing you said you started what was it?
Rob Katz: It started this season at Christmas.
Chris Simm - Shankman Capital: That’s all I had, thank you.
Operator: Your next question comes from Larry Shoemaker with Oppenheimer.
Larry Shoemaker - Oppenheimer: Do you have any look in to the summer bookings?
Rob Katz: Earlier in the call I said that actually our view into Easter is actually quite difficult right now, because of the short booking window, so I think suffice it to say we do have summer bookings, but I think making any kind of conclusions about it would be folly, because I think we’re assuming that the summer will be very much like the winter, which is it’s going to take quite a bit of time before we actually start to build up any kind of visibility.
Jeff Jones: Other than group bookings which tend to be more in advance that certainly we’ve seen a shift from group trends in, in the winter. We will see if that happens in the summer at our hotels, but certainly group bookings in general on an advance basis have been down.
Larry Shoemaker – Oppenheimer: Did you give a look at Easter?
Rob Katz: No, what we said was that because Easter is in April, April will be better this year than it was last year, but because of this short booking cycle, we can’t really make any conclusions about how Easter will be until we get further into March.
Larry Shoemaker – Oppenheimer: My other question was can you quantify the demand for foreign visitation, or lack there of?
Rob Katz: We can’t quantify, but we can say that it is definitely down. I think it is tracking not that far off of our overall destination business, maybe a little bit better, but it’s basically struggling because of trends that are opposite to where we were last year. Last year you had a weak dollar and you had countries actually performing a little bit better than the United States in terms of economic activity. This year I think you are seeing, obviously, a global recession, so other countries are struggling quite a bit. At the same time the dollar has strengthened over the last year; so both of those have combined to push down our international visitation.
Larry Shoemaker – Oppenheimer: Thanks, good luck.
Operator: Your next question is a follow up question from Mimi Noel with Sidoti & Company.
Mimi Noel - Sidoti & Company: Rob, are you counting on not a revolt, but with your seasonal employees how do you expect them to respond to a wage cut? I mean do you price competitively enough that it’s still attractive or do you factor in an increase in turn over, or deterioration in retention however you want to look at it?
Rob Katz: No, I think especially for a lot of our long-term seasonal folks on the mountain, they are provided medical benefits and other things that are unusual for companies to provide seasonal folks, but they are really part of our family and so I think we treat them that way on that front. At the same time when it’s time for everybody to cut back a little bit there is no question that we are asking for them to do that as well. I think the labor market right now, I mean it is obviously no surprise, is not a great market when you’re looking for a job. I think that has just been unfortunate. I think from a hiring standpoint that hasn’t really been a challenge for us at all, but obviously that is the same driver for lower economic demand which is hurting our revenue. We would like nothing more, quite frankly, than to see job losses stop around the country which I think will pick up the economy, pick up demand, and I think help the business overall. We have told people that if the economy returns we will absolutely be looking to make adjustments to people’s compensation. It isn’t just a one-way when things are bad everybody gets hurt. It’s when things get better everybody does better too.
Mimi Noel - Sidoti & Company: Okay, that’s helpful. Thank you.
Operator: Your next question comes from Yasuna Murakami with MC2 Capital Management.
Yasuna Murakami - MC2 Capital Management : I want to congratulate you on the best possible result, I think, under the circumstances, but you briefly touched on this with Haley. So, basically the Ever Vail stuff, everything else is on track at this point. I realize last call you had mentioned this is four our five years out, but everything is pretty much on track as far as that is going?
Rob Katz: Ever Vail, yes we are still moving full speed on Ever Vail. Obviously we are still in the planning and approval process for that. We will not be taking Ever Vail to market unless the market is there that we feel can support a sales effort.
Yasuna Murakami - MC2 Capital Management : Obviously you guys don’t about acquisitions, but you are definitely looking out there at this point. It seems to me that there is a lot of carnage out there as well from companies that are not as well positioned as you guys are, correct?
Rob Katz: Yes, I think that part of our strategy has not changed.
Yasuna Murakami - MC2 Capital Management : Okay that’s it.
Operator: Your next question comes from Eric Mark with James Asset Management.
Eric Mark - James Asset Management: I just wanted to get a sense in terms of the changing mix that you have between destination and local visitors and also on what is going on in media. Where are you seeing the best targeted media options in order to help move the needle for visitors? Are you changing your media advertising buying patterns at all?
Rob Katz: There is no question that I think one of the best avenues right now is on line, especially when you’re dealing with short-end bookings and people are making their decisions at the last minute. Some of the longer lead advertising opportunities are a little tougher. But, we are still running a program where you’re promoting and building brand awareness over time and then trying to have a greater call to action program when you feel like somebody is going to be making a decision. What I would say today is that our online and email programs and to a lesser extent, but also important direct mail, are definitely becoming more important. Call to action and prices and promotions are definitely leading the day right now and I think that’s something that we will be continuing with throughout the summer and into next year.
Eric Mark - James Asset Management: That’s helpful, I mean is TV and print advertising maybe weaker? Are you looking into traditionally more expensive buckets for targeted media?
Rob Katz: We don’t advertise on TV, I mean other than in very, very selective situations on a local basis, but that’s not really a medium that we use. What I would say is no. If you were going to see a shift it’s going to be a shift towards the online direct mail email to our existing customers. You know we have a fairly robust database, quite frankly, of many, many people who have visited all five resorts at our Rock resorts over a long period of time. Obviously these are people who have already been out here and so this is the kind of environment where you are going to spend a lot of your time marketing to your existing customer base rather than trying to convince somebody who has never been to your resort to come. Again, that is just because that is one of the travel trends that we’re seeing right now is kind of the tried and true. Those are the people that are more apt to take vacations where they know what to expect. They don’t want to take a risk with their vacation dollars today.
Eric Mark - James Asset Management: That’s very helpful. Would you say for the following year, or for next year and beyond, or at least for the foreseeable future, are you increasing your media buying patterns at all or just keeping it stable or down with costs?
Jeff Jones: We haven’t even set our budgets for next year and it is not something we would typically comment on.
Eric Mark - James Asset Management: Okay great. Thank you very much.
Operator: Your next question comes from Shizad Alee with Jodicus Capital
Shizad Alee - Jodicus Capital: You guys did a great job kind of giving us updates during the ski season. I think we had one update in January. Should we look forward to seeing more updates on the visitation or just kind of wait until the next results come out?
Rob Katz: We announced this at the beginning of the season that we are planning a final update which would be on kind of the ski season metrics piece which would be about a week after Easter, but we haven’t set an exact date yet.
Shizad Alee - Jodicus Capital: Okay, so like mid April, okay. Thank you.
Operator: Your next question is a follow up question from Hayley Wolff with Rochdale Securities.
Hayley Wolff - Rochdale Securities :  Can you talk about the whole maybe less by group business this year?
Jeff Jones: I never disclosed it, but I think how I would characterize it is group business does not represent a huge amount of skier visits, but it certainly represented a big chunk of both fine dine and ski school and to a certain extent rentals. I would probably focus most on ski schools, but you know a lot of groups would come in and take many, many instructors, particularly during the noon-peak time periods. One of the reasons why I think you’re seeing ski school under perform the other areas right now is because of that group business. 
Hayley Wolff - Rochdale Securities : Okay and then any success or any read on Epic Pass marketing to destination guests this year and impact for next year? I mean have you gotten the word out to some of these destination guests?
Rob Katz: We talked about today that we are starting to market next year’s Epic Pass today and it’s going to be available at the same price of $579.00 for adults, $279.00 for kids and we are going to be actively and aggressively marketing it to our existing customer base and at the resorts themselves. Especially during this peak spring break weeks.
Hayley Wolff - Rochdale Securities : Okay and then as you think about our customer who has been the person that, at least the perception is they come with their family, they take two instructors for the day for the length of their vacation. Assume that customer has changed their buying behavior permanently. How do you think about sort of repositioning your resorts?
Rob Katz: I think our view is that mountain resorts are actually uniquely positioned to pivot, so to speak, because they already host a wide range of income demographics. While it is true that Vale and Beaver Creek have a lot of higher income people, they also have a lot of lower income people and that is true of Breckenridge and Keystone as well. So, you can get somebody who is skiing on a comp ticket they may have gotten from their friend who bought a season pass with a brown bag lunch in their knapsack skiing right next to this “family” that you just outlined has two instructors with them. I think what you’re going to see us doing for next season is really continuing to offer things like the Epic Pass in all of our product lines so that we’re making ski school and other things available in different formulations to make them a greater value, to lower the absolute ticket price. Again, we’re still going to be doing the exact same thing, but you’re going to have more choices when you come to our resorts, to allow you to put together a vacation at different price points.
Hayley Wolff - Rochdale Securities : Oh, okay. Thank you.
Operator: At this time we have no further questions in the queue. I would like to turn the conference back over to Rob Katz for any closing remarks.
Rob Katz: Thank you, operator. That wraps up our fiscal 2009 second quarter earnings call. Thanks to everyone who joined us on the conference call today. Please feel free to contact me or Jeff directly should you have any further questions. Thank you for your time this morning and good-bye.
Operator: Thank you. Ladies and gentlemen this concludes the Vail Resorts Fiscal 2009 Second Quarter Results Conference Call. If you would like to listen to a replay of today’s conference please dial 303-590-3000 or 1-800-405-2236 followed by pass code 11126502. ACT would like to thank you for your participation.